Operator: Good morning, ladies and gentlemen, and welcome to the Forum Energy Technologies Fourth Quarter and Full Year 2024 Earnings Conference Call. My name is Gigi, and I will be your coordinator for today's call. There is a process for entering the question and answer queue. To ask a question during the session, you will need to press star one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, a link with instructions can also be found on the company's Investor Relations website under the Events section. At this time, all participants are in a listen-only mode, and all lines have been placed on mute to prevent any background noise. This conference call is being recorded for replay purposes and will be available on the company's website. I will now turn the conference over to Rob Kukla, Director of Investor Relations. Please proceed, sir.
Rob Kukla: Thank you, Gigi. Good morning, everyone, and welcome to Forum Energy Technologies' fourth quarter and full year 2024 earnings conference call. With me today are Neal Lux, our President and Chief Executive Officer, and Lyle Williams, our Chief Financial Officer. Yesterday, we issued our earnings release, which is available on our website. Please note that we are relying on the Safe Harbor protection afforded by federal law. Listeners are cautioned that our remarks today may contain information other than historical information. These remarks should be considered in the context of all factors that affect our business, including those disclosed in Forum Energy Technologies' Form 10-Ks and other SEC filings. Finally, management's statements may include non-GAAP financial measures. For a reconciliation of these measures, you may refer to our earnings release. During today's call, all statements related to EBITDA refer to adjusted EBITDA. Unless otherwise noted, all comparisons are fourth quarter 2024 to third quarter 2024. I will now turn the call over to Neal.
Neal Lux: Thank you, Rob, and good morning, everyone. I would like to begin by congratulating Chris Scott and Leslie Weier, two of Forum Energy Technologies' board members. Leslie was recently nominated to serve as Assistant Secretary for Land and Minerals Management in the US Department of Interior. Leslie's leadership and experience make her an excellent choice to help our country navigate critical energy challenges. I would also like to congratulate Chris on his announced retirement. Chris has been involved with Forum Energy Technologies for almost twenty years, both as a dedicated board member and previously as Chief Executive Officer. I would like to personally thank Chris for his mentorship, guidance, and friendship. He has been invaluable throughout my time at Forum Energy Technologies, and especially since my appointment as CEO in January 2022. These announcements, I think it is appropriate to step back and reflect on the great progress we have made over the last three years. Revenue is up 51% during this time. Market share, as measured by revenue per rig, is up 19%. EBITDA increased five times, and margins expanded 800 basis points. Net debt is down 30%, and we significantly improved our net leverage from eleven to just under one and a half times. These results clearly illustrate the progress we have made. Now let's talk about key achievements from the year specifically. Our financial results, the completion of a transformational acquisition, the fortification of our balance sheet, authorization of a significant share repurchase program, and solid execution of our beat the market strategy. Financially, we delivered meaningful growth with revenue and EBITDA up 10% and 49%, respectively. This resulted in a 42% incremental margin and over 300 basis point margin improvement. Impressively, we generated $105 million in free cash flow from strong EBITDA growth and efficient working capital management. Veriper contributed meaningfully to our financial results, as promised when we announced this acquisition. Despite some market headwinds, Verapyrm delivered stronger than expected EBITDA margins and outperformed the full-year free cash flow plan. We also executed a $100 million senior secured bond offering, which refinanced our long-term debt and maintained a strong liquidity position. Importantly, the refinancing provided flexibility for the deployment of cash. In December, we announced a $75 million share repurchase program, delivering on our promise to shareholders. The size of this program relative to our market capitalization is significant. It also reflects our confidence in generating consistent free cash flow in 2025 and beyond. This year, we made great progress on our beat the market strategy by capturing profitable market share, leveraging our global footprint, and developing differentiated technologies. For example, we gained market share, as demonstrated by our 15% revenue per rig growth. Also, outside the US, we utilized our strategically located manufacturing facilities to grow international revenue by almost 42%. Forum Energy Technologies is an industry innovator, delivering new products to the market. Here are a few examples: FR 120 SC, the next generation Iron Roughneck that combines best-in-class torque capacity with a reduced rig floor footprint; FastConnect, a safer and more efficient zipper manifold system for multi-well pad frac operations; Powertron, an industry-leading heat transfer unit for mobile power generation; PumpSaver Plus, an incredible solution that increases oil production and reduces downtime; and rod lift production systems. MagnaGuard, a breakthrough product that enables widespread adoption of efficient permanent magnet motor ESPs. My last example, Unity, a leading-edge technology that remotely controls ROVs to reduce personnel on vessels. Now turning to our outlook. We strongly believe long-term demand for energy will grow, and continued investment will be required to supply this growth. However, we expect 2025 to be a transitional year for market activity driven by geopolitical and macroeconomic uncertainties. Overall, we anticipate global drilling and completion activity in 2025 will decrease 2% to 5% from 2024 levels. In North America, both rig count and frac fleet count are forecasted to soften. Internationally, we anticipate activity to be generally flat. We expect that continued market share gains through our beat the market strategy will partially or fully offset the impact of declining market activity. Therefore, our full-year 2025 adjusted EBITDA guidance range is $85 million to $105 million. There are a couple of variables, however, not in our 2025 forecast that we are tracking closely. The first is natural gas. In our guidance, we do not assume a rebound in natural gas drilling and completions activity. If demand triggers a meaningful commodity price increase, there may be some upside to activity later in the year.
Rob Kukla: The second variable is tariffs.
Neal Lux: For most product families, we believe we are in a position to mitigate and pass through tariff impacts with increased pricing and supply chain optimization.
Rob Kukla: This result may not be achieved immediately,
Neal Lux: and we may see short-term impacts and variability in our businesses. We are continuing to monitor this fluid situation and will adapt accordingly. Before turning the call over to Lyle, I would like to summarize our capital deployment framework. First, we are forecasting 2025 free cash flow between $40 million to $60 million. We expect to allocate 50% of this free cash flow to net debt reduction. The remaining 50% would go towards strategic investments, including share repurchases. We continually evaluate acquisition opportunities and compare relative value to Forum Energy Technologies. With our industry-leading free cash flow yield, we have yet to find a better investment than ourselves. Buying back Forum Energy Technologies shares provides the best current value to shareholders. Alright. I am now going to turn the call over to Lyle for more details on Forum Energy Technologies' fourth quarter results and other financial highlights.
Lyle Williams: Thank you, Neal. Good morning. I am pleased to provide details on our strong free cash flow performance and why we believe generating free cash flow in the future is sustainable. For the full year 2024, we generated $105 million of free cash flow. This is the highest annual amount since 2015, and $35 million higher than the top end of our latest guidance. These results benefited from the real estate sale leaseback transaction we announced in mid-December and from meaningful networking capital reductions. Inventories dropped by $34 million as key initiatives paid meaningful dividends. Also, our days sales outstanding decreased, generating $8 million of cash. Monetizing these assets allows us to redeploy capital for a better return. We remain confident in the foundation we have built to sustainably generate free cash flow. Our 2025 guidance of $40 million to $60 million is consistent with our 2024 result, excluding the large release of working capital and the sale leaseback transaction. Included in our guidance are interest and cash tax payments of about $35 million and capital expenditures of around $10 million. This guidance reflects another year of strong free cash flow, allowing us to further reduce net debt while simultaneously returning cash to shareholders. It is important to note that we are committed to maintaining conservative net leverage. As Neal mentioned, 50% of our free cash flow would further reduce our net debt. Our remaining free cash flow would be used for strategic investments that increase shareholder value. As we have said before, we believe our stock is undervalued, and it is hard to find a better investment than Forum Energy Technologies. Shareholder returns have already begun. In January, we repurchased approximately 105,000 shares of our stock for an aggregate amount of $2 million. At the time, we met the two conditions of our bonds that address repurchases. First, we can repurchase up to 50% of the previous fiscal year's free cash flow, excluding the sale leaseback proceeds. So for 2025, we have over $42 million of share repurchase capacity. Second, our net leverage ratio must be below 1.5 times pro forma for any repurchases. Going forward, this incurrence test will be the limiting factor for when and how large our repurchases can be. Based on the seasonality of our free cash flow, we expect our repurchases to be weighted to the second half of this year. We fortified our balance sheet this year. With strong free cash flow, we retired $100 million of debt incurred in connection with the Verapyrm acquisition. To put that in perspective, within a year of the closing, we retired two-thirds of the debt added for this transformational acquisition. With the bond refinancing completed in November, we have no debt maturities until 2028. We ended this year with $45 million of cash on hand and $61 million available under our revolving credit facility, with total liquidity of $106 million. Our net debt was $149 million, down $50 million from last quarter, for a year-ending net leverage ratio of 1.49 times. On the income statement, our consolidated fourth quarter revenue of $201 million and EBITDA of $22 million were within our guidance ranges. The slowdown in US completions activity led to a sequential decrease in our revenue, and our EBITDA margin was negatively impacted by lower sales of Quick TURN, high-profit products. In the fourth quarter, we recorded two unusual non-cash items that impact net income but not EBITDA. First, we recorded a charge of $119 million to impair the intangible assets of our coiled tubing product line. Based on market conditions, we performed an impairment test and determined the carrying value of these assets should be fully written down. Going forward, this will reduce our annual amortization expense by $15 million. Coiled tubing remains a valuable contributor to Forum Energy Technologies, with strong profitability and differentiated technology. We also recorded an $11 million non-cash benefit to income tax expense by releasing the valuation allowance reserves that we held for Germany. As our operation in each country becomes more profitable, it is appropriate to release these reserves. Turning to our segment results, the Drilling and Completion segment revenue decreased by 10% with lower US completions-related activity. Sales volumes for wireline cable, coiled tubing, and stimulation capital equipment were lower. Segment EBITDA decreased 34% due to lower sales volumes and unfavorable product mix. Orders were $103 million, down 20% relative to the third quarter, which included large orders of drilling equipment, including iron roughnecks and catwalks. The Artificial Lift and Downhole segment revenue was up 7%, primarily related to increased sales of our refinery desalting technology and artificial lift products. Sales increases in these higher-margin products led to EBITDA growth of 11%, and orders in the quarter were up 14%, with increased demand across our production equipment and downhole product lines. I will conclude my comments by providing modeling details and our forecast for the first quarter of 2025. For the full year 2025, we estimate corporate costs of $30 million, depreciation and amortization expense of $35 million, and tax expense of $13 million. We are expecting around $17 million of interest expense, which assumes a reduction in our ABLs balance through the year. We assume first-quarter values to be roughly one-fourth of these full-year amounts. From a guidance perspective, many of our customers have publicly indicated a slower first quarter, with progressive improvements throughout the year. Therefore, we expect first-quarter 2025 revenue to be in the range of $185 million to $205 million and EBITDA in the range of $20 million to $24 million. Included in our quarterly and annual guidance are additional lease expenses from the sale leaseback transaction of $1.7 million per year. Our first-quarter free cash flow will be impacted by annual management incentive payments and property taxes. While we do not guide specific free cash flow on a quarterly basis, we do anticipate generating positive free cash flow in the first quarter. Let me turn the call back to Neal for closing remarks.
Neal Lux: Thank you, Lyle. I want to note one more achievement from 2024. Safety is our number one core value, and over the years, we have done an outstanding job. While we were pleased with our past results, we are not satisfied. Last year, we challenged ourselves to radically improve our safety performance and culture. I am ecstatic to announce we exceeded our expectations. The teams embraced our initiatives and significantly improved our key metrics to world-class levels. This is a fantastic achievement, and I want to thank the employees of Forum Energy Technologies for their hard work and dedication. Job well done. Gigi, please take the first question.
Operator: Thank you. As a reminder, to ask a question, please press and wait for your name to be announced. To withdraw your question, please press star one one again. Our first question comes from the line of John Daniel from Daniel Energy Partners.
John Daniel: Hey. Good morning, guys. Neal, I was trying to take copious notes as you were going through your prepared remarks. I think you mentioned something about a new product tied to mobile power. Did I hear that correctly? And if so, can you elaborate on what it is, what it will do, and the opportunity set?
Neal Lux: Yeah. Good call. So in the PowerGen segment, we have a product called our Powertron. This is our heat exchanger that we supply into that market. It is paired with a gas reship engine. It builds off our leading market share in the frac industry, and we have adapted this product to fit the power gen side. We have had a good start to the year on the quotation side. It has been pretty robust, and we are looking forward to closing some orders there.
John Daniel: Okay. Those are all big domestic?
Neal Lux: Yeah. It would be domestic. I think, as we think about increasing power demand, another product that applies there is our coiled line pipe, bringing in the gas to the data centers as well.
John Daniel: Okay. Got it. And then just on the traditional sort of coil wireline completion, as orders have moderated a tad, are you seeing a setup where you are going to see a spike in those orders in three to four to five quarters? Do you get the sense they are working through their inventory? Just any thoughts there?
Neal Lux: Yeah. On a consumable basis, which includes wireline cable and coiled tubing, those are getting consumed and turning well for US land. Our more capital-type products, whether it is power ends or radiators, those are the items that are looking for a spike, as you say, maybe a few quarters out, whether it is later this year or into next year as that equipment ages.
John Daniel: Okay. You got it. I will turn it over. Thank you, guys.
Neal Lux: Thanks, John.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Dave Storms from Stonegate.
Dave Storms: Good morning.
Neal Lux: Morning, Dave.
Dave Storms: Morning. Just wanted to start with maybe some of the puts and takes on guidance. You mentioned that the beat the market strategy should help maintain the top line despite some overall market weakness. But it still looks like your EBITDA midpoint guidance is about a percent decrease year over year. Just hoping you could speak to maybe some of the margin assumptions or price mix volume decisions that would drive that.
Neal Lux: Yeah. As we look out to 2025, we said the market could be down 2% to 5%. So the EBITDA guidance range we have put in there is really how successful we are to either partially or fully offset that market decline. At the midpoint, you could see the market down a lot, and we gain a little more share. Or at the low end of the market, let us say they are down 2%, we do not gain as much share. We wanted to give that range. Ideally, if the market stays flat and we add revenue, we would be closer to the top end of that range.
Dave Storms: Understood. That is very helpful. And just kind of on that, with the general market expected to decline 2% to 5%, are you seeing any pockets of strength? I know international has been a bright spot, though a little choppy for you guys. Just curious as to if there are any green shoots that you are seeing out there.
Neal Lux: There really is more on the types of product side. Our consumables have seen a nice start to the year. Capital is still a little slower to start as our customers get their budgets together. Overall, international is probably going to be a bright spot for us this year, whether it is a good start in Canada or outside North America, whether it is Saudi, maybe a little lighter, but Kuwait, Oman, Abu Dhabi, I think all are going to be pretty good for us this year.
Dave Storms: That is very helpful. Thank you for taking my questions, and good luck in the first quarter.
Neal Lux: Thanks, Dave. Thank you.
Operator: Our next question comes from the line of Jeff Robertson from Water Tower Research.
Jeff Robertson: Thank you. Good morning. Neal, you talked about gaining market share in 2024 and over the last three years. As you look at the market conditions in 2025, are there areas where you think you still have room to grow market share? And if so, are those product lines ones that would have a favorable impact on margins versus maybe lower sales in other lines?
Neal Lux: That is a great question. Our focus is to grow profitable market share. We are putting the time into those key product lines that have higher margins, where we have incentivized our teams to gain that share. The areas are artificial lift and downhole, that segment has high margins. It is one where we have added a lot of new products over the year. I mentioned MagnaGuard, as well as our PumpSaver Plus. We continue to build out that product portfolio. That is an obvious area of growth. I mentioned coil line pipe earlier on the PowerGen. We are also seeing international projects that are offshore that could be a nice boost there as well. I do not think our hard gain share is done. We have a good runway on that. Over time, we are absolutely focused on beating the market and executing that strategy.
Jeff Robertson: On the products you mentioned, the Unity remote control system for ROVs, has that been field tested to the point where you are getting more interest in it from a broader group of customers?
Neal Lux: We are utilizing it today. We are actually in the middle of testing those systems right now. We are going to have them delivered here in Q1. We had a bit of a delay just to put in Q4 with one customer, so we pushed it into Q1 here. It is still early, but it is an area where taking personnel off vessels is a huge saving for our customers. Us executing that is a really good deal. What is exciting too is we could upgrade our existing installed ROVs, and that is a great opportunity for us.
Jeff Robertson: In the past, with respect to returning cash to shareholders, you all have broadly talked about the possibility of a dividend. Does the share repurchase plan give you the most flexibility as you look at the options on the value of Forum Energy Technologies versus the valuations that you are seeing in the acquisition market?
Lyle Williams: Jeff, I will take that one. At this point, we do not have any specific dividend plans. We really feel like given the relative valuation of Forum Energy Technologies stock versus other things that we could invest capital in, it is just such a screaming buy that that is where we ought to be. That is our focus for now for that 50% of our cash flow. The other 50% will continue to go to our net debt reduction. We feel like if you use the midpoint of our guidance on cash, take half of that as $25 million, that would be about 10% of our market cap. If we achieve that this year, that is a very big amount. At the same time, we can pull our net leverage down to 1.25, 1.3 times, something like that over the same period of time.
Jeff Robertson: Thank you, Lyle.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Steve Ferrazzani from Sidoti.
Steve Ferrazzani: Morning, everyone. Appreciate you taking my question. I did want to follow up on a couple of the earlier questions. In terms of your breakdown on seeing a 2% to 5% decline in drilling and completions, I am just trying to think about some of your individual markets. Verapyrm has been really successful at high margin. In December, we saw pretty healthy guidance from the bigger oil sands producers, but that was pre-tariff talk. You said that Canada started up healthy for you. Are you seeing any kind of impact at this point? Are you expecting any kind of impact?
Neal Lux: In Canada, it was a good fourth quarter. I think the rig count has been good here as well to start the first quarter. We have not seen an impact from tariffs. It is something that we do a lot of analysis on. We could see a slowdown if we did have that 10% oil tariff come through on Canadian crude. That would be something that we would have to adjust to for sure.
Steve Ferrazzani: Okay. And then on the other side of the border, and I do not know how much exposure you have country to country, but Mexico is obviously very soft. Could that hit you in the first half?
Neal Lux: Our exposure to Mexico is fairly limited. It is a really small part of our business, so not as concerned there. North America for us is primarily Canada and the US.
Steve Ferrazzani: Okay.
Lyle Williams: Steve, maybe I will touch in on just the tariff comment to give a little more color there on how we are thinking about it. As Neal mentioned, we do not have any tariff impact included in the guidance we provided. It is just too early to really understand, but we do have experience with what happened in prior tariff regimes and what that looked like. Our view is we have probably a similar outcome, and that is that given our market position with a lot of our product offerings, we have the ability to pass on tariff increases to our customers. That would be our expectation. However, the uncertainty and volatility that can come from that until the market settles out definitely could be a near-term choppiness or bumpiness in results. We do not have anything in there, but definitely something that we are watching and our teams are monitoring daily to make sure we take the appropriate actions.
Steve Ferrazzani: Excellent. If I get one more in, obviously, your balance sheet is extremely strong. You noted the outperformance of Verapyrm. If we end up in this sort of soft environment, flat to slightly down year, new opportunities might emerge given the balance sheet, and I understand the better returns from share buybacks. Are you open and ready to jump if the next Verapyrm comes up? Not saying it would.
Neal Lux: If we can again, I think in our comments, we talked about looking at the relative value of our shares versus opportunities out there. If we saw the relative value in an acquisition, I think we would absolutely, as you mentioned, Verapyrm, fantastic acquisition, great team. We would love to add another one.
Steve Ferrazzani: Excellent. Thanks, everyone.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Eric Carlson.
Eric Carlson: Hey. Good morning, guys.
Neal Lux: Morning, Eric.
Eric Carlson: I was wondering if you could maybe talk through a little bit of, I mean, clearly, with the kind of large impairment charge in Q4, the kind of headline income and EPS numbers probably grab a lot of attention. But you have to forgive my quick math, but I think it was just over a $100 million loss for the year, but a lot of that kind of attributed to the impairment charge and then FX and then a higher interest expense. So maybe just on a go-forward basis, if you just look at kind of the income statement, it feels like it is set up to be a little bit more normalized instead of all these one-offs from transaction expenses and so on and so forth. So maybe a few thoughts there would be interesting.
Lyle Williams: Sure, Eric. Definitely. And definitely a lot of noise in there. So just draw your attention to the earnings release and our table in the back that would show a full-year adjusted net income numbers. If you look at those, I want to spend a minute on those. If you look at those on a year-over-year basis, our adjusted net income is actually down from, like, negative 1.5% to negative 10%. What is that? That is really driven by interest expense that we added for the Verapyrm acquisition of about $12 million. But with our net debt now coming down and with our guidance, we expect a really meaningful improvement on a year-over-year basis. So 2025 should be better. The other place that there was a year-over-year increase was on tax expense. Again, an increase due to Verapyrm and a little bit tied to this pillar two global minimum tax that is out there. So through this year, we have already restructured some of that. We will be able to have a lower go-forward tax guidance that we have. So between those items, lower interest forward, lower taxes forward, lower amortization expense going forward, we are set up for a much-improved net income and EPS result in 2025 versus 2024.
Eric Carlson: Okay. That is helpful. I guess and then just looking at kind of the cash flow numbers. So, obviously, finished very strong, but for the full year, about 45% of current market cap in cash generated and a good majority of that just from operations. So maybe I am thinking of the context of I know some people have brought up ways to return capital and kind of the relative value. I mean, I did kind of quick math. It is not perfect, but it looks like kind of the median EV to EBITDA on kind of the peer group at least stated in kind of the proxy statement for incentives is maybe six and a half, and that is excluding a few I could not find information on. But you guys kind of trade at under four, 3.75, so almost a 50% discount to that. I mean, when you think about deploying capital, obviously, a buyback makes a ton of sense. There is a lot of kind of surety to what you are getting there. And maybe just when you think about the relative value, like, if I know I can buy 10% of my shares, that increases my free cash flow per share by 10%, I can kind of put that on a flywheel and repeat it. Versus what is the relative value needed by a strategic acquisition on the outside? So maybe just thinking about the hurdle rate of different ways to do that because obviously, buying your stock seems like a no-brainer. But, like, if I can buy if you can buy your stock at under four times EBITDA, what is the hurdle rate? Like, what do you need to be able to buy a Verapyrm at? Does it need to be three times, or does it need to be if just maybe provide some context for that because I think that would be really helpful.
Neal Lux: We would go back to, you know, what is our acquisition guideline strategy. We want to get companies with differentiated products in niche markets. We want to have an accretion to key multiples and, you know, cash flow per share, I think, would be one of those. We do not want to put ourselves in a tight balance sheet by adding a lot of debt. So as far as a specific hurdle rate, I think we would just really stick with our guidance there. I think we would look at it on a case-by-case basis. I think accretion would be a big point to that, so I think it would be we have to find the right deal at the right price and really the right discount to where we sit to get it done.
Eric Carlson: Okay. That is helpful. And then maybe in deploying kind of buyback, I know the comment already was probably weighted a little bit more heavily to the second half. Can you just provide some, I mean, what are kind of your limitations in terms of daily volume and then in terms of maybe opportunity to source some larger blocks of shares? Just kind of looking at the filings, I mean, there is still at least one really large bondholder still holding, I mean, 900,000 shares. So, I mean, when you think about how you deploy that most effectively, maybe just provide some context.
Lyle Williams: Sure. Eric, as we talked about in our prepared remarks, really the limiting factor is going to be our 1.5 times net leverage ratio pro forma for the buyback. So we ended the fourth quarter just under that, opening the door for us to be able to get some things done. Obviously, as we buy back shares, that kind of increases that on that pro forma number. So we will generate free cash flow through the year, probably lighter in Q1. We, like I said, guided lighter in Q1 and then stronger in the later part of the year, which opens up opportunities for us. I think the other thing we would do is we look at open market purchases. We want to make sure we sit within the appropriate safe harbors. So we are limited in terms of average daily trading volumes and what that would be for us. So that would be kind of an open market kind of an opportunity. So I think we look at those, there is plenty of volume out there. In January, when we did buy, we were able to get that done in a short amount of days. So I think when we are in the market, we could do that relatively quickly and be able to buy up some of those shares. But we will be focused on that 1.5 times measure. As we get under that, that provides more opportunity, more opportunity for us.
Eric Carlson: Okay. And then you said so based on the math, it is $42 million would be kind of available. But, obviously, with kind of cash flow projections, it would come in under that.
Lyle Williams: That is right.
Eric Carlson: And then maybe my last question would be you have been able to do something to take advantage of kind of generating one-off cash flow, like, sale leaseback at the end of this year. You did it in previous years as well. Just wondering if there is any other low-hanging fruit out there to kind of generate cash above and beyond operations.
Lyle Williams: Yeah. So if you look at our guidance, what we guided, the $40 million to $60 million, really, that does not include any incremental cash from an asset monetization, like the sale leaseback. It also does not include any working capital benefit or increase. So kind of assuming flat numbers, and both of those were big contributors in 2024. We will continue to look at ways to do that, both on the working capital side. Our teams are very focused on inventory reduction. Given the kind of market condition here and what is going on with potential tariffs, we are being prudent around not getting too short on inventories these days. So I think that will be something we will have to balance through the course of the year. And then clearly, as we look at our portfolio, both what new product additions we want to make and where we might want to trim back on our portfolio, it is all about returns and how do we improve the returns cash returns that those portfolios can give. So we will be looking at those as well, but nothing specific included in our guidance at this point.
Eric Carlson: Okay. Good quarter. Good year. Thank you.
Operator: Thank you. I would now like to turn the conference back over to Neal Lux for closing remarks.
Neal Lux: Okay. Well, thank you for your support and participation in today's call. We look forward to our next meeting in May to discuss our first quarter 2025 results.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.